Operator: Welcome to the third quarter 2009 earnings conference call. All lines have been placed on mute, to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) I would like to turn the call over to Mr. Frank ten Brink. 
Frank ten Brink: Welcome to Stericycle's quarterly conference call. Joining me on today's call will be Rich Kogler, COO, and Mark Miller, CEO. I will now read the Safe Harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks, and should be viewed with caution. Factors described in the company's Form 10-K, 10-Q, as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events, or circumstances after this date that may bear upon forward-looking statements. Now, the results of the third quarter. Revenues grew $20.7 million to $297.8 million, up 7.5% from $277.1 million in the third quarter of '08. Revenues grew 11.1% when adjusted for the unfavorable foreign exchange impact of $10.1 million. Domestic internal growth excluding returns management was up 6% and international internal growth adjusted for exchange was over 6%. Domestic internal growth consisted of SQ up 8% and LQ up 3%. Regulated returns management services revenues were $16 million. Gross profit was $140.9 million or 47.3% of revenues. SG&A expense excluding transactional expenses related to acquisitions were $57.6 million or 19.3% of revenues. Net interest expense was $9.2 million. Net income was $46.5 million or $0.54 per share on an as-reported basis and $0.55 adjusted for transaction expenses related to acquisitions and the net release was prior year tax reserves. At the end of the quarter, the revolver borrowings were approximately $228 million. The unused portion of the revolver debt at the end of the quarter was approximately $400 million. We repurchased 848,169 shares of common stock from the open market in an amount of approximately $41.2 million. Cumulatively, we have purchased approximately 13.1 million shares, and we still have authorization to purchase approximately 3.1 million shares. Our capital spending was 11.7 million, and our DSO was 52 days. The cash provided from operations was $87.7 million for the quarter and $213.9 million year to date. I will now turn it over to Rich. 
Rich Kogler: We want to thank each member of our worldwide team for their solid performance and continued commitment to our customers and shareholders. In the quarter, we enjoyed strong sales growth in all of our business segments. The SQG growth was primarily driven by Steri-Safe with 80% of new Steri-Safe customers choosing select and preferred. In the quarter, Steri-Safe contributed over 67% of total small customer revenues. Large quantity sales growth was driven by the continued adoption of our Bio Systems offering and new LQG med waste contracts. In summary, we ended Q3 with over 440,000 counts of which over 429,000 were small, and the remainder large. Now, I will turn it over to Mark. 
Mark Miller: I would now like to provide an insight on our current outlook for 2009 and provide a preliminary guidance for 2010. Please keep in mind that these are forward-looking statements. In the third quarter, we completed five domestic and one international acquisition. The annualized revenue of these six acquisitions is over $16 million. Keep in mind our guidance does not include future acquisitions which have not closed, divestitures, and acquisition-related expenses, and the release of prior year tax reserves. For 2009, we believe that the analysts’ EPS estimates for the fourth quarter will be in the range of $0.54 to $0.55 per share, bringing our full year range to $2.08 to $2.09 which we are comfortable with. We believe analysts’ revenue estimates will be approximately $1.17 billion. We believe analysts will have estimates for net income between $180 million and $181 million, depending on assumptions on margin improvement and interest expense, and we believe analysts will have estimates for free cash flow of between $210 million and $213 million, with CapEx anticipated between $40 million and $42 million. Now, I’d like to provide preliminary outlook for 2010. We believe analysts’ EPS estimates will be in the range of $2.31 to $2.37 which we are comfortable with. We believe analysts’ revenue estimates for next year will be in the range of $1.27 billion to $1.3 billion depending upon assumptions for growth and foreign exchange. We believe analysts’ estimates for net income will be between $199 million and $204 million, depending on assumptions on margin improvement and interest expense, and we believe analysts will have estimates for free cash flow of between $230 million and $240 million, with CapEx anticipated between $45 million and $50 million. In closing, we are very excited about the tremendous growth opportunities in 2009 and beyond. We thank you for taking time out for the call, and now we’ll go to Q&A mode. 
Operator: (Operator instructions) Your first question comes from Ryan Daniels with William Blair. 
Ryan Daniels – William Blair: Let me start with a quick question on the LQ business. It looks like growth was up about 3% year over year. I think that’s down from about 6% in the second quarter. Is there anything unusual there? Just slower sales or can you comment on why that’s so down a bit?
Frank Ten Brink : It’s the year over year surcharges and the timing on that is more on LQ. It comes up more and faster on the LQ, and so in general again you’re looking at a business 8 to 3 and when you adjust for 8 to 3, 8% on SQ and 4% on LQ, you get 10 to 11 and your 5 to 6.
Ryan Daniels – William Blair: So underlying trends are actually pretty similar? 
Frank ten Brink: Yes.
Ryan Daniels – William Blair: The LQ adds in the quarter and bio system adds and then SteriSafe customers and the percent on select and premium?
Rich Kogler: Starting with the LQ adds, we had 56 new contracts on the Midway site, 70 biosystems. Total number of SteriSafe accounts is now over 139,000, and the percent on select is 32.4%. 
Ryan Daniels – William Blair: Do you guys have any color or commentary on the pharma waste disposal service? I know you took that out of the controlled launch, and I’m curious if you’re ready to share client numbers of average contract size or any more detail on that segment at this point.
Rich Kogler: As we indicated last time, we moved out of pilot stage. We’re doing a staged rollout, quite similar to how we did bio systems a few years back. We have lots of customer demand. It’s a program that is being driven by the regulations as well as by customers’ interest in doing the right thing for the environment, and we’re seeing good success.
Ryan Daniels – William Blair: Any update on MedServ? I know you guys have been going through the HSR review, and I’m curious if you’ve got any feedback from them or what you’re hearing about the potential timing around that transaction. 
Rich Kogler: The last time we talked, we were still at a process along with MedServ of supplying information, and that process has been completed, so DOJ has information from both parties. We’re now in the review process. We expect that this will finalize itself in Q4.
Operator: Your next question comes from the line of David Manthey – Robert W. Baird.
Dave Manthey – Robert W. Baird: Could you just remind us what the fuel surcharge was last year? I believe it was 2%. Is that correct?
Frank ten Brink: That’s about correct, from a total point of view the effect of it.
Dave Manthey – Robert W. Baird: Would there have been a greater or less impact on LQ at that time?
Frank ten Brink: There would have been in this case from its coming off, it’s a bigger on the LQ. It’s a little faster than on the SQ, so you get from that point a little bigger effect on the LQ than the SQ.
Dave Manthey – Robert W. Baird: You haven’t given back more than 100% of that, have you?
Frank ten Brink: No, we have not.
Dave Manthey – Robert W. Baird: Any changes you’re seeing in pricing or the competitive landscape, any changes in renewal rates for either MedWaste Services or ancillary services?
Mark Miller: We talk about this periodically, but volumes have been steady, renewal rates are still good. We haven’t seen anything really different. It’s always been a very competitive business, and there are plenty of new competitors that always entering, but frankly we’re holding our own, and I think that’s because of the nature of the services we offer. 
Dave Manthey – Robert W. Baird: International opportunities, can you talk about acquisition opportunities there, and then just in general other opportunities you might have to redeploy capital and drive returns that maybe we don’t know about or maybe are still embryonic today?
Mark Miller: Again, use of our cash is first of all to invest in the business, any acquisition, and then obviously repost. On the international side, acquisitions remain very robust, with one obviously in the quarter, and it was a nice sized one and it was in Chile—the expansion. The overall focus is again in South America and in Northern Europe. Those are areas that we’ve indicated that we’re very busy.
Operator: Your next question comes from the line of Michael Hoffman – Wunderlich Securities.
Michael Hoffman – Wunderlich Securities:  Could you pleas talk a little bit about the unit growth in the quarter. The numbers came out so fast that I’m not sure I wrote them down correctly. Did you say 440 point something thousand for total?
Frank ten Brink: Those are customer counts. The total was north of 440,000. The large quantity of that is a little over 11,000.
Michael Hoffman – Wunderlich Securities: The question with regard to SteriSafe, it sounded like there were two things were coming together versus prior times. In the past, you’ve talked about total number of premium customers.
Frank ten Brink: That would be the 32.4% that Rich mentioned.
Michael Hoffman – Wunderlich Securities: Last quarter, you had a 67% number?
Frank ten Brink: That’s the percent of SQ revenue that’s SteriSafe, and that was over 65% last quarter. It’s now over 67%. 
Michael Hoffman – Wunderlich Securities: When you look at the total addressable market, what penetration of that total addressable market do you have now with your SteriSafe product?
Frank ten Brink: The penetration is now over 43%.
Michael Hoffman – Wunderlich Securities: With regard to share repurchase, as robust as the cash flow is, are there any thoughts about accelerating the pace of that? You’re generating more cash than you can spend through acquisitions at the moment.
Mark Miller: I think it’s been a good balance for us to again invest in the business, to do the acquisitions. Obviously, repurchases we’ve done opportunistically. We feel it’s a good balance that we’ve done in the past, and we’ll continue to use that strategy in the future.
Michael Hoffman – Wunderlich Securities: Any thoughts about a dividend?
Mark Miller: No, not yet.
Operator: Your next question comes from the line of Al Kaschalk – Wedbush. 
Al Kaschalk – Wedbush :  Could you just comment on the tone on the acquisition pipelie in terms of maybe pricing or the environment that you’re seeing, particularly on the international front?
Mark Miller: I think there really is no major shift in the pricing overall. What we’ve indicated before is that on a pre-synergised basis you may get acquisitions, on average, anywhere ranging from the 5 to maybe 8-9 and synergized ranging then between 5 and 6-7. Internationally, obviously if you’re in very high risk countries, that multiple could be a little bit lower, obviously adjusted for the factors in those countries. In most western European countries and some other ones in the world, that would not be very dissimilar from the US. 
Al Kaschalk – Wedbush : Within the core business or the internal business, how would you characterize the volume of waste from your customers? Have you seen it moderate or are you seeing the expected growth in volumes with the economy?
Rich Kogler: We really have not seen any impact negatively to volumes. Because healthcare keeps expanding and we keep expanding with more customers, volumes keep increasing.
Al Kaschalk – Wedbush :
Rich Kogler:
Al Kaschalk – Wedbush : If I may just flip back to MedServ and to the extent you can clarify, should we have expectations that if things continue to proceed at the pace you believe they’re going for a mid Q4 close? Secondly, could you just talk or refresh us on what’s your expectations are for accretion or the impact for 2010 and whether that’s included in the guidance that was provided?
Mark Miller: As Rich said, we expect to finalize in Q4, and the accretion, as we said after a period of integration, which was probably going to be somewhere around 6 months, would then be about $0.02 for the year?
Al Kaschalk – Wedbush : Is that in the $2.31? That’s probably no, right?
Mark Miller: No, that is not because we do not include acquisitions that haven’t closed yet.
Operator: Your next question comes from the line of Scott Schneeberger – Oppenheimer & Co.
Scott Schneeberger – Oppenheimer & Co.:  Just following up on that last question, after 6 months of close on MedServ, then in the subsequent 12 months will be $0.02 of accretion or would it be in the 12 months from the close that you’ll see the two cents in the back half?
Mark Miller: I think it’s end of 12 months. I think that’s fair. It’ll be obviously a little bit more in the backhand, second half of that 12-month period.
Scott Schneeberger – Oppenheimer & Co.: On the acquisitions, I think it was 5 and 1; can you just take us a little bit deeper on each of those?
Mark Miller: Six acquisitions; 5 domestic, 1 in Chile. Revenues annualized about $16.5 million approximately. The overall price was about $58 million. Multiple synergized was about 6 to 7.
Scott Schneeberger – Oppenheimer & Co.: Chile was the big one. What did that constitute of the $16.5 annualized? 
Mark Miller: The international portion of it was about $7.5 of that annualized number.
Scott Schneeberger – Oppenheimer & Co.: Modeling each of these, it should be equal across the quarters? Nothing dramatic seasonality-wise?
Mark Miller: There should not be, no.
Scott Schneeberger – Oppenheimer & Co.: The five in the US, can you speak to LQG, SQG, and any other details?
Mark Miller: I think the overall SQ-LQ mix for the total is about 50:50.
Scott Schneeberger – Oppenheimer & Co.: RMS of $16 million in the quarter. Can you take us through what you’re seeing in that market? It hasn’t been tremendously robust for a couple of quarters. We know it’s lumpy, but how is that looking now? Are you comfortable with the guidance for the full year?
Mark Miller: For RMS, we saw continued impact of picking up new accounts. We feel good about what’s happening there. We just have not had in the quarter any big recalls. As you know, it’s not something you can predict based upon units or activity; it’s really driven by what are the issues surrounding that particular product and what needs to happen. We had estimated in our last call about 80 for the year. In the numbers we gave just now, we’re targeting about 70 for the year, so we’re taking it down on the assumption that there would not be a big recall occurring in Q4. That may happen, that may turn out to be conservative, but at least for the modeling that we did for the guidance, we took it linear.
Scott Schneeberger – Oppenheimer & Co.: Is the economy playing a role in this or is it entirely a business unique of the economy? I’m just curious what might be driving a little bit back to back softness in quarters. 
Mark Miller: Well, you have one issue which is how do you determine what the size and scope of the recall, so you can have two products, and if one is deemed to be labeling issue and maybe needs notification and some followup but it’s not as life threatening or the like. There may be activities that we do that we bill out and do that service on an outsource, but it’s really the ones that are more severe that would deem more activity and more services provided. I think from general shifts in the economy and the environment, we see more and more efforts on enforcement and safety and regulation and follow-through. I think the administration is behind it to drive that process. I think there is a heightened awareness, but it’s a little bit of just the nature of the lumpy business. You don’t really know when the big one or the real serious one is going to happen, but fundamentals long term in our favor, that people will like to outsource this as to oppose to build in-house capabilities. 
Scott Schneeberger – Oppenheimer & Co.: Just taking that to 2010, what type of outlook for revenues do you have from RMS in 2010, and then taking it back to the core business, SQG and LQG, what type of growth breakout do you expect in those two in the 2010 revenue guidance? 
Mark Miller: In the guidance that we gave for 2010 on RMS, I’d put a range of like 70 to 90 in those two bandwidths, and then on SQ and LQ, SQ about 8 to 10% assuming no comparable issues if there’s pikes in energy or the like, but on the normalized basis, 8 to 10, and LQ about 5 to 8, and international about 5 to 8. 
Scott Schneeberger – Oppenheimer & Co.: SG&A, it was a little above my number, but I think it was well within what you guys had been talking about as far as forward outlook. Are you planning on spending more or less through the end of the year into next year and what else is on that line item? 
Mark Miller: We definitely are investing in the growth engines and continue to do so, and we also have a little of higher cost with respect to stock options as we have lower forfeiture rate within the program, but new programs and expanding existing ones are definitely getting funding and those to us are exciting. 
Operator: Our next question comes from the line of Jonathan Ellis with Bank of America Merrill Lynch.
Jonathan Ellis – Bank of America Merrill Lynch: Just wanted to ask a question about the acquisitions this quarter, where they all medical waste companies that were acquired domestically?
Rich Kogler: They were predominantly medical waste. There were some angles in it with respect to hazards for instance for health care, but predominantly were medical waste.
Jonathan Ellis – Bank of America Merrill Lynch: Just on the international revenue growth, did you just offer it up for next year of 5 to 8%? Does that assume that FX remains where it is today?
Frank Ten Brink: Pretty much. We look forward a little bit, but there’s not much different where roughly it is right now and the expectations. 
Jonathan Ellis – Bank of America Merrill Lynch: Energy costs, what where they this quarter as a percentage of revenues? 
Frank Ten Brink: Total energy was about 5% of revenue. 
Jonathan Ellis – Bank of America Merrill Lynch: If we could go back as it relates to LQ revenue growth, and you talked about the surcharges coming off, can you help us understand, are your surcharges with LQ account primarily indexed so they scale up and down with diesel prices or are they more of a negotiated rate? 
Rich Kogler: Many are indexed, some are negotiated, but they do move up and down pretty rapidly which is why you see more effect year over year comparable.
Jonathan Ellis – Bank of America Merrill Lynch: Would say the average lag is probably no more than a month or two between spot price of diesel and the actual surcharge?
Rich Kogler: It varies because we have different tables and different things, but I think Frank’s overall comment I would agree with which is that they adjust quicker both up and down at this point than the SQ. 
Jonathan Ellis – Bank of America Merrill Lynch: Some of the solid waste companies have had success in trying to recoup some of that surcharge that is coming off in the form of core pricing or sustained pricing. Have you pursued that strategy at all? 
Mark Miller: Well, you have to factor overall that you want to recoup what the cost increase is, and remember right now too diesel is coming up again. We’re going into the winter months, so it’s one that you got to anticipate a little bit, and it has come up. We’re all looking at least in the Chicago market, rates at the pump in the 160s, now it’s back up to the 280s, so fuel is getting up again. 
Jonathan Ellis – Bank of America Merrill Lynch: As we look in to 2010, help us understand to what extent, I know you talked about how LQ pricing tends to track slightly below CPI, SQ slightly above, but what extend are your contracts particularly I would imagine on the LQ side indexed actually to inflation where CPI measures actually would have implications for pricing next year?
Mark Miller: I think our contracts typically have an escalator that is built into them. When we say that we get CPI or a little less than CPI, we’re sort of comparing it to something that most people can relate to, but our contracts don’t index. Some may occasionally have that, but the truth is we have a contract that we negotiated with customers that have varying terms, so it’s kind of hard to generalize. I don’t know if other industries use forms, but we don’t.
Jonathan Ellis – Bank of America Merrill Lynch: You just provided a penetration rate for SteriSave. Could you offer up a similar penetration rate for biosystems?
Mark Miller: Right now, total number of biosystems account is probably about 1800.
Frank ten Brink: When we give a total number of accounts, that’s still is as we said that there is definitely a lot of opportunities still left.
Mark Miller: I would say just based on the LQ count, we’re probably 20-30% penetrated at best.
Jonathan Ellis – Bank of America Merrill Lynch: I asked only because I know that LQ count increased both domestic and international so that’s what I was trying to understand.
Mark Miller: That’s more a domestic number from that point. Internationally, it’s in the early phases still and a lot of opportunity.
Rich Kogler: Just for clarification, so we don’t have apples and oranges, that’s percent penetration of the accounts that are eligible, so that’s a smaller universe versus the total number.
Operator: Our next question comes from the line of Scott Levine with J.P. Morgan. 
Scott Levine – J.P. Morgan: Regarding the leverage, could you give the leverage calculation for your covenant and remind us as to what your comfort zone is there in terms of how comfortable you are in levering up for deals and/or buybacks?
Frank ten Brink: We had at the end of the quarter leverage debt to EBITDA was 2.3 and so lots of room our covenant max is 3.75, just the delta. We wouldn’t get any EBITDA for it but that is at least north of $500 million additional borrowing capability to not hit the leverage hurdle.
Scott Levine – J.P. Morgan: And where would the leverage go once close MedServ? 
Frank ten Brink: I think it’s still definitely below 3, and there is room left. Our comfort level as we said is between 2 and 3 from a debt to EBITDA perspective, but we are not afraid to go at times over it, and then it comes down fast. For instance, if we don’t do repos or go really slow on acquisitions, it comes down very fast, and obviously there is also EBITDA that comes with an acquisition and that obviously helps also. 
Scott Levine – J.P. Morgan: And turning to the guidance a little bit, can you tell us what tax rate is implicit in your preliminary 2010 and your Q4?
Frank ten Brink: I think if you look overall, you’re talking somewhere in the low to mid 37s, 37.2 to 37.5. 
Scott Levine – J.P. Morgan: The margin trends and the SG&A spend in 2010, any material changes versus what we see in ’09 and recent years?
Frank ten Brink: I think right now SG&A again and continuing you’re talking low to mid 19s and on the margin improvements year end over year end of definitely about 80 basis points and that SG&A will probably come a little bit heavier in the beginning of the year and then, with our growth, we’ll grow into that. 
Scott Levine – J.P. Morgan: Any trends we should keep an eye out for on the regulatory front, healthcare legislative debates or anything else you expect to be noteworthy as far as your business is concerned?
Rich Kogler: Well, I think the two things we’ve seen are the incinerator rates which really are not that much of an issue for us. A couple of hospitals I know are closing down their incinerators, but we’re not having any problems with that. The pharma regs and the push on that is of course is what is driving the pharma waste program that we talked about earlier, and that’s we think is providing an opportunity for us to help the customers out.
Operator: Our next question comes from the line of Greg Halter with Great Lake Review.
Greg Halter – Great Lake Review: I think in the past you have talked about possibly getting up to operating margin numbers into the mid thirties, I believe. Is something you still envision over the coming years?
Mark Miller: Yes. Definitely. If you think again, the growth opportunities in SteriSafe, the growth opportunities in biosystems, and for the density there, those are all opportunities for us to obviously improve margins on. We still see opportunities operationally in transportation for instance to improve our efficiencies, so those are definitely goals that we still have.
Greg Halter – Great Lake Review: On the SteriSafe side, I believe last quarter you talked about entering Canada. Can you provide any commentary on how that effort is proceeding so far? 
Rich Kogler: We have actually had very good response in Canada and the initial role out, and we’re looking at other markets as well, but again, we see this whole platform as we keep building our business and follow our business model to establish the customer base and then provide additional added higher value services to that customer base, and we’re pleased with what we see in the uptake. 
Greg Halter – Great Lake Review: Any update on the water pathogen side of things? Is that still in a trial phase? 
Rich Kogler: The water pathogen is on hold for now. We’re putting more emphasis, we really like what we see of the RX pilot coming off and going into roll-off, the opportunities with helping with the healthcare facilities with their select hazard materials, particularly as it ties to their pharmacy and lab work and then also our ability to keep driving the SteriSafe or SteriSafe-like programs domestically and ramping internationally. 
Greg Halter – Great Lake Review: Frank, can you provide where the current all-in rate on your debt is?
Frank Ten Brink: We are now paying on overall debt, LIBOR plus 75 on the incremental borrowings on our revolver. On our term loan, it’s equivalent to about LIBOR plus probably 325 with the amortization of fees and everything. Our fixed rate debt obviously, the private placement is 5.64. Most of the foreign seller debt is somewhere in the range on average probably around 5 to 6 and then any of the other foreign bank debt, that ranges quite a bit because now we’re in countries like Argentina, Mexico and the like, so those rates can anywhere range from low-teens to high-teens. 
Greg Halter – Great Lake Review: I missed your commentary on the share repurchase, on how many shares were purchased. I think you said $41.2 million cost, but I didn’t get the shares.
Frank Ten Brink: It was about 848,000 shares. 
Greg Halter – Great Lake Review: Were those done mostly late in the quarter? 
Frank Ten Brink: They were done at the latter end, yes. Not totally, but more spread to the backend. 
Greg Halter – Great Lake Review: The acquisitions you spoke of, the 5 domestic and 1 international, any idea or estimate on number of employees that you may be bringing on or is this more just assets? 
Frank Ten Brink: Well, you have obviously infrastructure to come with it. You do have some synergies, but overall, I don’t right off the top of my head know the number of employees. I apologize. 
Greg Halter – Great Lake Review: Not a problem. The reason I asked is with Waste Management in great timing today said that they are buying a company in Salt Lake City. It seems awfully small but just wondered if you had any kind of knowledge or input relative to that? 
Rich Kogler: We were aware of that company. We had looked at it. We decided not to pursue it. We do know the company covers Utah and California and I think Idaho, and they have some hospital work in all three of those states. 
Greg Halter – Great Lake Review: The state numbers I’m coming up with show 1 to 4 employees, which doesn’t sound very large to me.
Rich Kogler: It was not a very large company. Like I said I think they had a few hospitals. They were operating in a 3-state area. My exact recollection of number of employees I can’t tell you, but it was small. We knew about it. It was not one that we decided to pursue.
Greg Halter – Great Lake Review: So that deal probably will not be vaulting them past you any time soon?
Mark Miller: I don’t know. It’s a small deal. 
Operator: Our next question comes from the line of Richard Skidmore – Goldman Sachs.
Richard Skidmore – Goldman Sachs: First on the gross margin, gross margins on a year over year basis are up pretty significantly. Can you talk about how you feel about the sustainability of those gross margins and how you feel that gross margin number moved going forward?
Frank Ten Brink: I think from a forecasting and planning point of view, assuming there are no acquisitions but foreign exchange held fairly stable, so the ratio domestic-international holds stable, then you should see a margin improvement year-end over year-end of about 80 basis points, so I think sequentially that’s somewhere 15 to 20 basis points quarter over quarter is the rough math there, and you always need to take the last quarter into consideration when you look at forward projections.
Richard Skidmore – Goldman Sachs: When you look at the gross margin improvement that you had, can you break down where that’s coming from? Is that just the increased growth on the SteriSafe within your small customers? 
Frank Ten Brink: I think obviously year over year, there has been a nice improvement as a result of the overall energy, but then on top of that, you have obviously efficiencies from the acquisition, sort of the integration of those acquisitions, but energy is definitely one of the larger one if you compare year over year, and then you get the growth from SteriSafe which incrementally has strong margins, the improvements in margins over time with the density and biosystems and then other services that we’re looking at that are at higher margins. 
Richard Skidmore – Goldman Sachs: Just shifting to SteriSafe for just a moment, as you go out and have your salespeople pitch SteriSafe as an offering to your customers, what’s the success rate of those pitches?
Frank Ten Brink: If you really look at the ability to get to the higher levels from a sales point of view, to preferred and select, again 80% of customers incrementally, customers in the quarter, came onto those programs, so again we have been very successful signing people up for the higher programs where in essence if they had to parse it out into individual services from other people, the cost would most likely be higher, and this could mean a savings for them if they were doing it before.
Richard Skidmore – Goldman Sachs: I guess the question I’m asking is what’s your batting average as you try to move those customers and are you getting 100% success rate or are you hitting 50 or hitting 10%, and what kind of ability do you have to move that average?
Rich Kogler: I think the close rate is very good because of a few reasons, one, the numbers are folks who basically call in to establish service and move right on to SteriSafe is a very high percentage, and then the rest of the folks that we are marketing Sterisafe to are existing customers who have had our medical waste service for a long period time. When we give them the value proposition for SteriSafe, it’s a pretty compelling proposition, and we have a high close rate.
Operator: (Operator Instructions). Our next question comes from the line of Michael Hoffman with Wunderlich Securities.
Michael Hoffman – Wunderlich Securities: Just a quick point of clarification, the 37.2 to 37.5 was for the fourth quarter and 2009 or one or the other?
Frank Ten Brink: Which one where you referring to Michael?
Michael Hoffman – Wunderlich Securities: That’s the tax rate question. 
Frank Ten Brink: That’s the tax rate for next year, 2010. That was the question, what would the guidance be for 2010. 
Michael Hoffman – Wunderlich Securities: What about your fourth quarter? 
Frank Ten Brink: Fourth quarter is probably going to be in a similar range.
Michael Hoffman – Wunderlich Securities: It seemed like a big positive working capital move in helping of free cash flow. Is that a timing issue? 
Frank Ten Brink: No. I think there’s a little bit of payables, but I think we’re going to continue good job on bringing the DSO down. If you compare it to year end, it was about 57, now we’re at about 52, so that obviously is a nice improvement.
Michael Hoffman – Wunderlich Securities: And where do you think you can go? 
Frank Ten Brink: It depends. Overall we’re very pleased with it. I think from a modeling point of view, if you keep it around that level, I think that would be conservative. 
Michael Hoffman – Wunderlich Securities: Using 50 days for 2010 would be reasonable? 
Frank Ten Brink: That’s up to your modeling. 
Michael Hoffman – Wunderlich Securities: The difference between second quarter and third quarter, 430 goes to 440, how much of that is new customers through your salesforce versus you acquired it? 
Frank Ten Brink: They were definitely acquired in it, and we don’t totally break it out as Rich indicated. There were 70 new biosystems, 56 new on the LQ side, but it is a combination between acquired and new, but there definitely was new customer growth on the small quantity and large combined.
Michael Hoffman – Wunderlich Securities: And in the guidance you gave for 2010, what underlying customer number are you assuming? 
Frank Ten Brink: We don’t give that from a detail perspective. Modeling of customer quantity is not something we recommend. 
Michael Hoffman – Wunderlich Securities: On the fuel surcharge issue, clearly that had a negative revenue impact in the third quarter because you put a surcharge in last year, you’d be rolling it back this year. How much of your margin improvement was accounted for for the surcharge? 
Frank Ten Brink: I think if you look year over year, you probably are looking at roughly somewhere in the 120 to 130 basis points.
Michael Hoffman – Wunderlich Securities: In the 80 basis points, how much are you assuming is flushing out the surcharge?
Frank Ten Brink: There really isn’t.
Operator: There are no further questions at this time.